Hiromasa Furukawa: Good afternoon. I'm Hiromasa Furukawa, CFO of JT Group. Thank you for joining us today for the JT Group's second quarter 2024 earnings briefings. I'll begin by explaining our 6 months consolidated results for the fiscal year 2024. Please see Slide 4. As shown on the slide, revenue and AOP increased both on the constant FX and on a reported basis. AOP at constant currency, our primary performance indicator, increased 2.7% year-on-year. This solid performance resulted mainly from the tobacco business, where the robust pricing contributions outweigh the impacts of increased investment towards Ploom, higher supply chain costs and higher indirect costs such as labor cost. Higher profit in the processed food business also contributed to this performance. Regarding FX, essentially coming from the tobacco business, the impact on AOP at constant FX was unfavorable due to the depreciation of emerging market currencies and appreciation of cost-related currencies more than offsetting the positive impact of weaker yen. Operating profit increased 4.6% year-on-year due to the increase in AOP and a decrease in amortization of trademark rights among adjusted items. Profit increased 6.3% year-on-year, driven by the increase in operating profit as well as lower financial cost. Finally, free cash flow increased by JPY 24.9 billion to JPY 179.8 billion. This increase was driven by the AOP growth as well as the improvement in working capital. Moving on to the results of each business segment. First, let's look at the volume results in the tobacco business. Please see Slide 5. Total volume, combining sales of combustibles and RRP showed a strong performance in the first half of the year with a 2.0% increase year-on-year. In the combustible category, EMA cluster continued to drive volume growth. This strong performance was driven by the continued market share gains and volume momentum in emerging countries, positive industry volume in most of the cluster and ongoing growth in Global Travel Retail, mainly in Asia. These factors resulted in a 1.7% year-on-year increase in combustible volume, offsetting headwinds resulting from lower combustibles industry volume in Japan, the Philippines and the U.K. as well as the business model change in Sudan. RRP volume increased significantly by 25.5% year-on-year driven by an increase in HTS volume, our investment priority. In addition to the gross market share in HTS segment in Japan, volume growth was supported by the digital market where Ploom was launched, particularly in the Western Europe cluster. Moving on to the financial performance of the tobacco business on Slide 6 and more specifically AOP. The first half of the year delivered a strong performance driven by the pricing contribution from several markets such as the Philippines, Russia and the U.K., resulting in AOP increase of 5.3% year-on-year at constant FX. While the total volume increased compared to the previous year, the financial contribution of this volume was negative to AOP. This is due to a lower geographic mix resulting from a higher volume [ compulsion ] from relatively lower margin market, mostly located in the EMA cluster. Additionally, the product mix was negatively affected mainly due to down-trading in Japan and the Philippines. The robust pricing contribution was also partially offset by increased investment toward the accelerated geo-expansion of Ploom, higher supply chain costs and the higher indirect costs such as labor cost. The FX impact on AOP was negative, mainly due to the depreciation of certain emerging market currencies such as the Russian ruble and the appreciation of cost-related currencies such as U.S. dollar and the Swiss franc more than offsetting the positive impact of a weaker yen. Slide 7 reviews the performance of the 3 clusters in the tobacco business. The graph on this slide shows year-on-year changes in total volume, core revenue and AOP on a constant FX for each cluster. First, Asia. This cluster includes Japan, the Philippines and Taiwan. Total volume decreased by 1.2% year-on-year, mainly due to the lower combustibles to industry volume in Japan, the Philippines and Taiwan, partially offset by market share gains in the Philippines and Taiwan and higher Ploom volume in Japan. Regarding financial results, the combination of negative volume contribution and negative product mix due to down-trading in Japan, the Philippines, as well as higher supply chain costs resulted in a decline in both revenue and profit despite the solid pricing. Moving on to Western Europe. This cluster includes Italy, Spain and the U.K. Total volume decreased by 2.8% year-on-year despite market share gains in several markets, including Italy and positive volume contribution from markets where Ploom was launched. This decrease was mainly due to lower combustibles industry volume in several markets, particularly in France and the U.K. Turning to financial results. Revenue increased as pricing contributions in markets such as France, Germany, Spain and the U.K. offset the negative volume variance. However, increased investment towards Ploom and higher increased supply chain costs resulted in lower profit. Lastly, EMA. This cluster includes Romania, Russia and Turkey. Despite the impact from the business model change in Sudan, total volume increased by 5.1% year-on-year, driven by market share gains in several markets, volume growth in Global Travel Retail, mainly in Asia and favorable industry volume in several markets, including Russia and Turkey. Regarding financial results, revenue and profit increased. So positive volume contributions and the strong pricing benefit in several markets, mainly in Russia, outweighed the increased investment toward Ploom and higher supply chain costs. Slide 8 describes the performance of the RRP category in the tobacco business. RRP volume increased by 25.5% year-on-year to 5.2 billion units. Ploom is now available in 21 market as of today. Japan continues to account for the majority of the volume and is now supported by the steady volume growth in markets outside Japan. In Japan, Ploom volume grew by approximately 36% year-on-year, outperforming the growth rate of the HTS industry, which we estimated at 15.1%. In addition, with the volume increase, RRP-related revenue increased by approximately 29% year-on-year. This steady growth aligns with our ambition to increase our RRP-related revenue by approximately 2.5x by the end of 2026 compared to 2023. On this slide, I will provide an update on the segment share trend of Ploom in several markets. As shown in the graph, Ploom market share in Japan and outside Japan is showing solid growth. In Japan, despite a very competitive landscape in HTS, the quality of our offering, combined with relevant marketing and promotional activities towards adult consumers have led to an increase of segment share. In Slovakia and Spain, where Ploom was launched in March and April this year respectively, we have been gaining market share from the early stage of Ploom's launch and are off to a good start. I would like to also highlight that JT's aggregated HTS share of segment in our key HTS markets where Ploom is available has reached 8.2% in June. We are encouraged by these early estimates, putting us on track with our 2028 ambition to reach mid-teen HTS segment share. We acknowledge that it will take time to build a strong brand, but effective targeted promotions and marketing activities have been successful and have steadily increased the awareness of Ploom. In addition, recognition, trial and repeat are also showing good progress. Taste and experience of Ploom have been highly evaluated by consumers, outperforming or matching competitor offerings. Next, I will explain the results of the pharmaceutical and processed food businesses. First, the pharmaceutical business. Revenue decreased by JPY 3.6 billion due to the absence of onetime compensation gains from license compounds received in 2023, despite sales growth in the area of skin diseases and allergens at our consolidated subsidiary, Torii Pharmaceutical. AOP decreased year-on-year due to revenue losses driven by nonrecurring compensation gains from 2023 as well as higher R&D expenses. We continue our efforts to expand the portfolio for future revenue and profit generation. A good example of these efforts is an announcement made on June 24 after we received manufacturing and marketing approval of VTAMA Cream 1% for the treatment of Atopic Dermatitis and Plaque Psoriasis in Japan. Moving to the processed food business. Revenue remained flat versus prior year as the price revisions offset the impact of decrease in sales of household products and the discontinuation of some products as a result of portfolio optimization. AOP increased year-on-year as the price revisions offset the higher raw material costs. From the next slide, I will guide you through our revised forecast for fiscal 2024. First, I will explain our full year consolidated revised forecast. Revenue and AOP at constant FX and a reported basis have been revised upward. We have revised up our forecast for core revenue at constant currency by JPY 20 billion, as we now anticipate a 4.7% increase year-on-year. This increase reflects the robust business momentum in the tobacco business throughout the first half of the year as well as the upward revision of revenue in the pharmaceutical and processed food businesses. For AOP at constant FX, we anticipate a 2.3% year-on-year increase, which represents an upward revision of JPY 17 billion, driven by the revision of core revenue at constant FX. The revised forecast includes a weakening of the Japanese yen versus our initial guidance. As a result, the favorable FX impact on revenue is anticipated to expand and the negative FX impact on AOP is anticipated to ease compared to the initial forecast. Consequently, revenue and AOP on a reported basis have been revised upward by JPY 93 billion and JPY 22 billion respectively from the initial forecast. We have revised up our forecast for operating profit by JPY 12 billion, reflecting the revision of AOP, more than offsetting the higher costs and adjusted items. Profit has been revised upward by JPY 20 billion from the initial forecast due to the upward revision of operating profit as well as an improvement in financial costs. Finally, free cash flow has been revised upward by JPY 16 billion due to the upward revision of AOP as well as improvement in working capital, which more than offset the increase in capital expenditures. The following slides explain the revised forecast of each business. First, let's look at the volume forecast for the tobacco business. We continue to anticipate a decrease of approximately 1% to 0.5% year-on-year for the total volume, combining sales of combustibles and RRP, in line with our initial forecast. This reflects the upsides from the improved share in combustibles and the growth of RRP volume in the first half. However, this is offset by higher-than-expected combustibles industry volume contraction in key markets, namely in the Philippines and the U.K. and downward revision of our shipment volume in Japan. Turning to the financials. We have revised upward our forecast for core revenue at constant currency by JPY 15 billion as we now anticipate a 5.1% increase year-on-year versus 4.5% in our previous forecast. This increase reflects the strong pricing contribution in first half of the year as well as the RRP revenue growth driven by the RRP volume increase. Next, for AOP at constant FX. We anticipate a 5.4% year-on-year increase versus 2% in our previous forecast, which represents an upward revision of JPY 25 billion, resulting from the core revenue increase in contained costs. We expect certain supply chain costs being lower and also higher investment towards Ploom compared to the initial forecast. We expect the FX impact to remain a headwind to AOP. However, due to the expected weaker Japanese yen, the extent of this impact is anticipated to be smaller than initially estimated. Specifically for the second half of the year, we expect a slowdown in total volume, mainly in our key markets. On the other hand, there was a onetime cost related to the renewal of RRP product in Japan in the second half of last year, meaning a higher cost base during this period. As a result, this year, the cost impact will be relatively moderate in the second half compared to the first half. Therefore, the growth rate of AOP at constant FX in the second half is expected to be at the same level as first half in the second half. Pricing contribution is expected to be robust throughout the year. Slide 14 explains the revised forecast for the pharmaceutical and processed food businesses. The forecast for revenue in the pharmaceutical business has been revised upward by JPY 4.5 billion from the initial forecast due to an expected increase in sales at Torii Pharmaceutical and an upward revision in overseas royalty income driven by the depreciation of the Japanese yen. AOP has been revised upward by JPY 3 billion from the initial forecast due to the revenue revision as well as the management of SG&A expenses at Torii Pharmaceutical. Moving on to the processed food business. Revenue is revised upward by JPY 0.5 billion from the initial forecast, incorporating the sales growth in the seasoning business. Forecast for AOP remains unchanged, as the improved revenue is expected to be offset by unfavorable FX impact. Finally, please see slide 16. We continue to deliver strong top line growth driven by solid pricing contribution in the tobacco business. This performance is also derived from the steady growth in HTS, our investment priority, fueling an accelerated contribution of the RRP category in both volume and revenue. The profit growth in the processed foods business also supported the group's profit growth. The strong first half results, coupled with the ongoing depreciation of the Japanese yen have led us to revise upward our consolidated full year forecast from the top line to the bottom line. Finally, regarding shareholder returns. Based on the revised profit forecast, our payout ratio for fiscal year 2024 will be approximately 73%, which is in line with the boundaries set out in our shareholder return policy, which I've described in previous presentations. Consequently, we have not altered our forecast for the annual dividend from our initial projection of JPY 194 per share. This concludes my presentation. Thank you very much for your attention.
Unknown Executive: Thank you, Mr. Furukawa. Now I'd like to start Q&A session. Let me introduce you the speakers, who will answer your questions today. Hiromasa Furukawa, CFO of the JT Group; and Nobuya Kato, JTI Deputy CEO. Next, I will show you how to ask questions. We are afraid we don't accept questions in this English line. If you have any questions, please send an e-mail to jt.ir@jt.com. We will introduce your question accordingly. Thank you for your understanding.
Unknown Executive: Now we'll take the first question. Mr. Saji from Mizuho Securities, please.
Hiroshi Saji: I'd like to ask about the U.K. In the second quarter, the volume was a bit tight. And originally, the combustible market was expected to be down by about 7%. But in the first half, it was down by about 17%. So double-digit decline was marked. So I'd like to ask a question about affordability of tobacco in the U.K. Initially, it was said that there will be some room for the further pricing, but what do you think about that now? And also, you have various segment, for example, Fine Cut. Your share has been robust, but I think it has been declining a bit. So your position in the U.K. and also the strategy, that price strategy or the category strategy, I'd like to know the basic about your strategy.
Unknown Executive: About the U.K. tobacco affordability and the room for the further pricing and also in the varied categories share loss going forward, what will be the strategy will be described by Mr. Kato.
Nobuya Kato: I'm Kato. Thank you very much for your question. Mr. Saji, as you said, the U.K.'s volume down 17% was marked in the first half and it was a rather sizable one. And industry volume decline, as you maybe know, in the '23 last year, there was the repeated tax hike and also the pricing happened. And then the industry room declined and affordability worsened. And looking at the full year, you commented on that part as well. And as we mentioned, that the double-digit decline might be happening for the full year. And pricing strategy, whether we do have the further room or not and a basic strategy, including a Fine Cut, how we're going to play out. In the United Kingdom, the first, the pricing, we're going to ensure the pricing. On the other hand, we are going to respond to the volume decline and we need to strike the optimized balance to ensure the improvement of the profitability. That is the key point. And because sometimes that the pricing might deteriorate the volume to some extent. But understanding that we'd like to take pricing. And also sometimes, in order to keep the share of the volume or it might enhance the value categories. So in the midterm, we're going to ensure by striking the best balance going forward, not only this year, but the next year onward that the most influential factor for the industry volume will be the tax hike. And as you know, as I said before, last year, there was a repeated number of tax hikes. And then what will happen because of the change of the government, how the new government is going to address will make the great impact for the upcoming industry volume. And of course, we need to be watchful. And as I said before, we're going to ensure the improvement of the profitability in the midterm. And not only for the combustibles, but of course, the other tobacco categories are increasing in U.K. And we are looking at those [ grosses ] as well and category share, although a bit low, but HTS and Ploom launch has happened. And also, nicotine pouch is also growing in the U.K. and our nicotine pouch is also growing. And that is making the positive contribution for the profit. So putting all together the tobacco portfolio, we'd like to make further approach.
Hiroshi Saji: One confirmation. EMA Russia result was good. But in the second quarter, in the Western Europe the profit was down to some extent. So I'd like to have one confirmation. Up to now that the pricing was able to offset the volume decline. And are you going to go back to the previous strategy because this market is very important?
Unknown Executive: Thank you for your question. Western Europe, Q2, quarter-on-quarter, there was some more deterioration. So how do you see that was your question, including the U.K. I think that is a key point of your question. And not only in the U.K. but in Western Europe cluster as a whole, the Q1 result was strong or the decline was very small in terms of the year-on-year comparison. So I think that is one thing to look at. And as I said in the Q1 results meeting, Spain, Italy, France, there were the positive inventory adjustment and that has affected the volume favorably. So Q2, quarter-on-quarter, it seems that there was some decline. So I think that is one important factor.
Unknown Executive: Thank you very much, Saji-san. We would now like to introduce the next question from Morgan Stanley MUFG, Miyake-san, please.
Haruka Miyake: This is Miyake from Morgan Stanley MUFG. So I'd like to ask about the revision of your midterm plan. So the second half of the year, so you have conducted the revised forecast. So within the presentation, especially at the last part of the presentation, you mentioned about the RRP-related costs in Japan. So last year's base was quite high. Therefore, it is somewhat lower in the second half of the year. I believe that was the comment you have made. So I do believe you have anticipated from the beginning of the year. So if that's the case, what has actually changed then? Is it the pricing impact was stronger than expected? And also, in terms of the volume. Of course, there are different color. But in terms of the regional mix is somewhat deteriorated. Is that the reason? Also, the supply chain cost, it is less than initially expected. Therefore, on a net basis, you are expecting an upward revision. So for the individual items, if you can give us more color, what are some of the changes that you have seen? Also, in terms of the volume assumption in the second half, you are expecting deceleration in comparison to the first half. And what are the reasons behind that?
Unknown Executive: The question was about the full year outlook. They saw the upward revision for the second half. But we would like to know the specifics about what have changed in terms of assumptions from the beginning of the year. Also, the volume will be decelerated in the second half of the year, but what are the reasonings behind that? So Kato would answer that.
Nobuya Kato: Miyake-san, thank you very much for the question. First thing first, let us talk about the core revenue. So core revenue, JPY 15 billion of upward revision has been made. So it's been fairly brisk with the robust pricing strategy is driving the top line. So that is one of the major reasons. More specifically, you have U.K., France, Spain, Germany, Saudi Arabia. These are some of the countries. The pricing has been realized more so than initially planned. And the pricing is definitely driving the core revenue. So you may wonder what about AOP. The pricing impact is actually directly affecting the AOP. And as you rightly understood, the supply chain cost was moderate in comparison to our initial expectation. So we've shared this idea back in Q1 results, especially for the NTM, the price negotiation has been going quite well. So that is why we have seen a dramatic improvement in comparison to the previous plan. Now in terms of volume, I believe that was part of your question. So in terms of volume, so from the second half, we were expecting a weaker trend in comparison to the first half. We were expecting that right from the start. Why? Because of the repeated tax hike, for instance, in Russia, Iran and Turkey. So the industry demand has been somewhat brisk up until first half. But going forward, perhaps affordability may be somewhat tougher. And also, we're expecting weaker trend for the second half of the year. Now in terms of the recent trends, though, whether we are seeing such deceleration, actually, no, we are not seeing signs of deceleration as we speak. So in terms of our expectation, we do expect a weaker trend for the second half of the year. But of course, the summertime, that is the peak period in terms of demand, we need to closely watch the situation. And we are expecting tougher -- the situation was affordability, but in the end it boils down to acceptability by the consumers. So again, we would like to closely monitor the situation. That's all.
Haruka Miyake: So if that's the case and basically, in terms of AOP, so there was an upward revision for the revenue, but at the same time, RRP-related investment. So you are expecting investment increase. So that is why you have actually limited the level of the upward revision then because you're expecting an RRP-related investment?
Nobuya Kato: Indeed, because we will be considering additional investment into Ploom and RRP in the respective markets.
Haruka Miyake: So you've mentioned something about U.K. market. So in terms of pricing and the volume decrease, if you were to look at those aspects, how is exactly the revenue in the U.K., if you were to take those components into consideration?
Nobuya Kato: Thank you for that question. In terms of U.K., actually, the profit for the individual market, as you know, we do not disclose those numbers. Therefore, in terms of core revenue, I would like to just share with you some ideas related to core revenue. So volume has been significantly down and we have executed the pricing strategy. So as a result, the core revenue has slightly declined. So we talked about the strategy about striking the right balance. So no change in terms of our general thoughts. But we've all talked about more of a midterm basis on a single year basis or maybe on the half year basis, it may appear to be that way. But on the midterm basis, we would like to make sure we would like to drive the earnings.
Unknown Executive: Now we'd like to take the next question. From Goldman Sachs, Mr. Miyazaki, please.
Takashi Miyazaki: I'm Miyazaki of Goldman Sachs. I'd like to ask about the current situation and the next year's key point. I'd like to have a confirmation. Talking about the supply chain cost was smaller than expected. And then do you see the peak out? And for the next year, are you going to see the cost decline going forward for the HTS that you're going to advance the investment. So in the next year, the investment growth will be more slowing down or it will be flattish? So I'd like to have your comment on the expenses for the next year FY '25 and also the impact of the progress so far. And talking about the pricing in Japan, it didn't happen. But in '25 and onward, that the pricing along with a tax increase is -- do you have any update based on the current discussion?
Unknown Executive: Thank you very much. Your question, based on the current condition, the forecast for the next year onward, FY '25, the cost expectation and the investment for the Ploom and also the pricing in Japan and also the tax, the current development in discussion is going to be covered by Mr. Kato.
Nobuya Kato: Thank you, Mr. Miyazaki. Talking about the cost, this year that the material cost was a bit favorable compared with our original estimate. And does it continue to come in the next year, not only for the material cost, I think -- for the material cost, actually, we need to go through negotiation year-by-year. So for the next year, we are going to have the price negotiation. So we cannot give you the simple answer whether the current favorable condition will be sustained in the next year. And talking about the supply chain cost as a whole, as we have presented already, compared with the plan, the material cost was positive compared with the plan. And however, year-on-year, it was up and especially for the tobacco leaf cost was up substantially. And this year, including Brazil, there were some disasters occurred or the irregular weather happened. So the leaf tobacco price needs to be monitored further. But next year, we expect to see the further increase of the tobacco leaf cost. So including that the supply chain cost increase is expected and we're going to counter that with our better efficiency. And talking about the investment for the HTS and we are having the additional investment. And next year, is that going to be down year-on-year? Well, at the end of the -- this time that the midterm HTS investment is regarded as sustained. And as you commented in February next year, we're going to release the next year, so the 3 years plan. So at that point, I'd like to give you more detail after a course of the year, I would like to give you the overview of how we're going to play out.
Takashi Miyazaki: And in Japan, the tobacco tax hike and pricing, is there any update or not?
Nobuya Kato: At this point of time, well, we don't have any particular update. '24 and onward the tobacco tax will be up by about JPY 3 per stick and that was already pronounced. And the timing itself is not fixed. Therefore, at this point, there is no update based on the ESA conditions.
Takashi Miyazaki: One confirmation. For the HTS Ploom mix, the medium-term investment, you said that the flattish. That means that next year and onward, there will be no incremental part. Can we have a confirmation? What do you mean by the flattish level?
Nobuya Kato: Well, I might not be very clear to you. But as of February this year, that management plan 2024 RRP's investment fund was released. Actually, in 2023, it will be about JPY 300 billion starting from the 2023 for 3 years. And in February, I said that 1.5x of the investment will be spent for the upcoming 3 years. It was already announced in such a way. So not by year, but 3 years, we're going to spend about JPY 450 billion for 3 years. So that level remains unchanged and that's my intent.
Unknown Executive: Thank you very much, Miyazaki-san. Next question comes from Morita-san from Daiwa Securities.
Makoto Morita: This is Morita from Daiwa. My question relates to the overseas HTS market. Is it trending in line with your expectation? Is it expanding in line with your expectation or are you seeing a higher level of penetration or are you seeing more of an acceleration in terms of penetration? So how do you perceive the overseas market for HTS? Another point for so-called nonsmoking products. So for instance, nicotine pouch. So I think a lot of players are really trying to appeal these products. But I think this product has been around since the old days. But are you -- are we seeing any significant change in the trend? And also, JT, has you made sufficient investment to take substantial positioning within this category? So the current situation relates to the HTS market outside of Japan. Is it trending in line with our expectation or is it accelerating? Also, the nicotine pellets market, are we seeing any changes in terms of trends? And also, what are the investment of JT Group related to this?
Unknown Executive: Thank you very much, Morita-san, for your question. So starting with HTS. On a global basis, it is pretty much expanding in line with our expectation. Of course, if you look at by individual markets and country, some are accelerating faster, some somewhat slower in comparison to our expectation. But the overall HTS growth has been insured and it is trending as we initially anticipated. More specifically, the trend we see on a midterm basis, I think we need to make that confirmation once we have more time. But for the next 1 to 2 years or so, we do believe it is expanding in line -- solidly in line with our anticipation, especially. So that is very suitable as the investment priority for us. Now your question related to nicotine pouch. So in the U.S., this particular category is growing quite strongly. So you mentioned this is a product category that has been around. I think that was a comment you have made. So snus and also basically the products that are using tobacco leaves. So it's called the traditional oral products, shall we say. In comparison to these products, nicotine pouch obviously, they don't use the tobacco leaves. So strictly speaking, they are different from those, the traditional category. But of course, in terms of the appearance and also how the sensation you receive after you place those in your market -- in your mouth, excuse me, the traditional products tends to have rather a dry taste, but nicotine pouch has a high-water content. So it is quite moisturizing and it has a high absorption of nicotine. So that could be the reason why it is growing quite strongly within the market. Now in terms of JT, in the U.S., we have not introduced nicotine pouch in the U.S. However, in Europe, in U.K., for instance, we mentioned how it is steadily growing in the U.K. So U.K., Ireland and Sweden. We have already introduced a nicotine pouch into those respective markets. So in line with the category growth, JT Group has been growing our sales accordingly.
Makoto Morita: So what about into the future? Could this be a game-changer? Could it actually metamorphosize into more of a game-changer in the future? So I think in three areas you've already -- you have already introduced those, but what about other areas in Europe? Are you able to catch up to the trend that you're seeing in the market? Are you making sufficient investment or not?
Unknown Executive: In Europe, so I've mentioned about the -- aside from the markets that I've just mentioned. So if we see the trend growing, whether JT is able to catch up or not. Obviously, if the category is going to greatly grow, we would like to capture that growth, if we were to make an entry into those markets. So in order to do that, we are always preparing quality products in anticipation of such trends. So in fact, U.K. and Ireland, the category is already growing and that is why JT Group has already introduced the products over there. So we do have quality products. So we just like to watch closely how the category is growing in those respective markets and we are making due preparation in case that were to happen.
Unknown Executive: Thank you, Mr. Morita. With that, we'd like to close our session. Now we would like to close the meeting for the Q2 2024 results. Thank you very much for your participation today. [Statements in English on this transcript were spoken by an interpreter present on the live call.]